Joe Pollaro: Good morning. Welcome to Wix’s third quarter 2014 earnings call. Joining me from management are Avishai Abrahami, Co-Founder and CEO; Nir Zohar, President and COO; and Lior Shemesh, CFO. Before we begin, a quick reminder that during this conference call management may make forward looking statements which are subject to various risks and uncertainties that could cause actual results to differ materially from our current expectations. A detailed discussion of such risks and uncertainties is contained in our annual report on Form 20-F for the year ended December 31, 2013. Forward-looking statements made during this conference call speak only as of today’s date, and the company undertakes no obligation to update them to reflect subsequent events or circumstances. Also, during this call we will discuss some non-GAAP measures. Reconciliations to the most comparable GAAP measures are provided in the tables in our press release. This conference call is also being webcast and is available through the IR section of our website. Additionally, we have posted to our IR site a supplemental data sheet containing additional financial information along with a slide presentation reviewing the results. I also want to remind everyone that we are going to be participating in a fireside chat at the RBC Conference in New York on Monday, November 10 at 2 o’clock Eastern. So I’ll now turn the call over to our Co-Founder and CEO, Avishai Abrahami.
Avishai Abrahami: Thanks Joe, and thanks to everyone for joining us. We delivered another strong quarter of results, exceeding our prior outlook again. We have also reached a milestone as today is our one year anniversary of our IPO. On this morning’s call, I would like to spend a few minutes talking about the progress we have made on our strategic plans and how we are building on our progress to grow Wix further. Nir is going to share with you an update on our cohort data as well as an overview of the OpenRest acquisition, which we announced last week. And Lior will wrap it up by providing more details on our financial performance, our improved guidance for 2014 and some thoughts on 2015. So let’s get started. We experienced strong performance across all of our key metrics: Collections in Q3 grew 70% year-over-year to $44.6 million. Revenue in Q3 grew 75% year-over-year to $37.5 million. We ended the third quarter with over 1.1 million premium subscriptions and over 54 million registered users. As I mentioned, today marks exactly one year of Wix being a public company. So I thought I would spend a few minutes reviewing the last 12 months and how we believe it sets us up for another strong year. Over the last year, we reinforced our position as the largest website and mobile development platform in the world. Our vision remains to enable everyone to create and contribute online. But, we are evolving this vision to be the software platform that enables small businesses to not only create but to also manage and grow online. Since our IPO, we have invested significantly in Wix to execute on this vision. We have made hundreds of enhancements to our HTML5 Desktop Editor and Mobile Editor, further increasing their capabilities and ease of use. Our HTML5 mobile site builder is likely the largest in the world with over 4.7 million mobile sites published to date. That’s an increase from only 800,000 a year ago. We introduced highly impactful products and technologies such as WixShoutOut, an easy way to create and send newsletters, and WixHive, which enables our users to manage a CRM database in the cloud. Since the launch of our database capabilities in July, over 31 million contacts have been stored and are being managed by our users. We also launched our first vertical product, WixHotels, and we announced the acquisition of OpenRest, which will become our restaurant vertical product. Business owners in certain industries are in need of their own online solution that they control. So, we plan to release future vertical products addressing these needs. All of these new products and technologies improve our ability to grow and retain premium subscriptions. We hired over 175 engineers, increasing our R&D team to over 400, representing half of our total employees. This has been a priority for Wix as a robust engineering team is critical to delivering to our users best-in-class technologies and products. We invested in expanding our global presence through payment and distribution partnerships and new advertising campaigns. Our business in Europe and Asia has more than doubled year to date. Wix.com and all of our support forums are now available in 10 languages with more on the way in the coming months. And we continue to expand our App Market, which has grown from 140 apps and 20,000 installations per day a year ago to over 230 apps and over 35,000 installations per day. We have already become one of the largest web development platforms for small businesses in the world, where businesses, organizations and individuals can create a beautiful, professional-looking website easily and without the need to code. We are now focused on taking our vision a step further and becoming the cloud software platform where entrepreneurs can manage and grow their business online as well. Businesses of all types around the world need to be online beyond just a website. Marketing, customer relationship management, transactional capabilities and back-office management are all workflow processes that need to be online. Small businesses need easy-to-use, flexible and affordable solutions to bring their storefront and their workflow online. And today, there are very few options for SMBs to take their complete business into the cloud. The investments we have made in the last year position us to establish and lead this market globally. To further execute on this vision, I’m excited today to announce that we will be launching our new e-commerce product, WixStores, toward the end of the fourth quarter this year. Online retailers represent one of the largest verticals on Wix and while we already offer an e-commerce solution today, our newest version will be a significant improvement. The new product will upgrade the user interface, improving the buyer and store management experiences. Our new architecture will also provide more mobile and social commerce opportunities. We have also upgraded the store management capabilities for our merchants including the ability to manage the store from a mobile device. WixStores, both with its back end and front end capabilities, provides users a great experience of creating and managing their business online. WixStores is also a continuation of our vertical product strategy – which includes WixHotels and soon our restaurant solution – in which we address specific online needs of businesses in specific industries. Combined with WixShoutOut and our CRM capabilities, these vertical products create a complete platform to manage every aspect of a business. I am also excited to announce today our WixJet technology. WixJet is a restructuring of our platform’s codebase, enabling Wix user websites to load faster than an estimated 95% of the websites on the internet. As with all of our products and technology, WixJet will bring enterprise-class capabilities to small businesses. This leaner codebase, better modularization and improved testability will also enable us to develop and deploy new products, features and capabilities into our platform at an even faster pace. We have begun to roll this technology out to our users and expect it to be fully deployed by year end. I’ll now hand it over to Nir, who will provide some additional details on our performance this quarter and discuss our recently announced acquisition of OpenRest.
Nir Zohar: Thank you Avishai. Let me start by putting out that, our growth continues as we added over 106,000 net premium subscriptions in the quarter. As we planned for in Q3, our user and net subscription adds were slightly impacted by lower traffic during the World Cup back in July. That being said, this is our third consecutive quarter of adding over 100,000 net premium subscriptions, which we consider is an amazing accomplishment. On page 8 in the slides we have posted on our IR site, we have updated our user cohort data from our last five Q1s. I’d like to highlight a few items on this slide. First, the rate at which we convert users into premium subscriptions continues to increase. In particular, the Q1 2014 user cohort – the green line on the chart – continues to convert at a higher rate than any of our past cohorts. We attribute this performance to enhancements to our overall platform, our new product offerings and an indication of the increased value our users are getting from Wix. Second, our retention of subscriptions is also better, as can be seen in the cohort behaviors. In our Q1 2013 user cohort – the yellow line on the chart – we actually saw a slight increase in net subscriptions in the most recent quarter. This behavior is consistent with what we have seen with the past cohorts as they begin to mature. Improvements in our retention of subscriptions is also driven by product as well as the ongoing shift of more annual packages versus monthly packages. The behavior of these cohorts reinforces the benefits of our freemium model in which we build a strong base of free users with the expectation that many of them will purchase one or multiple premium subscriptions over time. As we continue to enhance our product, provide more functionality and remove the barriers of creating, managing and growing a business online, we believe these trends will continue. Next, I would like to discuss some trends we are seeing in our marketing activity and our plans moving forward. As we have explained in the past, we measure the efficiency of our marketing spend by observing the time to return on investment, or TROI. Simply put, TROI is the ratio of dollars collected from new subscriptions acquired in a period to dollars spent on direct marketing costs in the same period. Our TROI has actually decreased over the last quarter back to roughly 6 to 7 months. This decrease has been primarily driven by the shift in annual subscriptions versus monthly subscriptions. In Q3, 65% of new subscriptions were annual, which is the highest percentage we have ever seen and is an increase from 51% and 56% in Q1 and Q2, respectively. Because we collect the full amount of a package price up front, a greater percentage of annual subscriptions in a period increases collections and lowers our TROI. Lowering our TROI allows us to invest those dollars in the business faster, further driving top line growth. Looking ahead, we plan to continue to be aggressive in marketing, including increasing our branding activities. We anticipate this increase in branding will extend our TROI back to a 7 to 8 months range, which we are very comfortable with. Lior will discuss in more detail our expectations for marketing spend in a moment. I’d now like to highlight some key points from our acquisition of OpenRest, which we announced last week. OpenRest provides a complete online ordering solution to independent restaurants, giving them full control over the customer experience. Similar to WixHotels, we intend to launch a product focused on the food service vertical using OpenRest’s technology in 2015. Like independent hotels, we believe many independent restaurants are in need of a complete online solution that they can customize and control, without having to pay a large percentage of the transaction to a third party. Our solution will enable restaurant owners to create a professional website, build and manage their online menu and take orders via the web and mobile. Our vertical product strategy addresses the online needs of businesses in specific industries, deepening the extent of workflow that these businesses can bring online. These products provide a solution that is fully customizable to the business’ brand and needs, give the owner control over the customer experience and are much more affordable than third party marketplaces. I’ll now hand it over to Lior to walk you through our financial results for the quarter.
Lior Shemesh: Thanks Nir and thanks everyone for joining today. We had another great quarter, and we will once again be increasing our full year guidance of collections and revenues as well as of adjusted EBITDA. First, I will walk you through our KPIs for the quarter. Registered users as of the end of the third quarter totaled 54.1 million, a sequential increase of 3.9 million. We ended the third quarter with approximately 1,125,000 premium subscriptions, adding over 106,000 on a net basis during the period. Q3 collections, which represents cash we have collected for both annual and monthly subscription packages and other products, were $44.6 million, a 70% increase over the prior year period. Growth in collections was driven by an increase in premium subscriptions during the quarter. We also continue to see an increase in annual packages compared to monthly, which further drives collections growth. During Q3, 65% of new packages were annual, compared to 56% last quarter. We attribute this continued shift to product improvements, the increased value we are providing users and pricing page optimization. Our aggregate subscription base is now comprised of 70% annual packages. We anticipate this percentage will continue to rise throughout 2015, further contributing to our visibility I will now to our third quarter financial results. Please note that all of these figures are non-GAAP and excludes stock based compensation expenses and one-time items unless I note otherwise. Revenue in the third quarter was $37.5 million, an increase of 75% over the prior period. The growth in revenue was driven by the increase in premium subscriptions as well as a slight increase in revenue per subscription. Gross margin in the third quarter was 82%, consistent with recent quarters. R&D expenses in the third quarter were $13.8 million, or 37% of revenue, versus $6.7 million or 31% of revenue in the previous period. The increase here was driven by headcount additions we have made this year. Marketing expenses were $24.1 million in the third quarter compared to $14.2 million in the prior year period. As a percent of collections, marketing fell to 54% versus 58% last quarter. This is the first quarter that marketing expense as a percent of collections decreased and is now below the 58% we anticipated for the year. We are realizing greater leverage over our marketing expenses due to the strength of our historical cohorts, and we believe this trend will continue in Q4 and into 2015. G&A expenses in the third quarter were $3 million, or 8% of revenue, compared to $1.5 million, or 7% of revenue, in the prior period. New adjusted EBITDA, which includes changes in deferred revenue and changes in prepaid domain registration costs as outlined on our last call, was negative $2.8 million. We exceeded our previous guidance on adjusted EBITDA due to outperformance on the top line as well as marketing leverage we have realized this quarter. Prior adjusted EBITDA was negative $9.4 million for the quarter. During the third quarter, we also recognized $1.5 million in gains from financial hedging on our collections. A quick word about our foreign currency exposure. We hedge both our collections and our expenses through forward and option contracts. We are currently nearly fully hedged on the Euro and British Pound for collections through 2015 at favorable rates. We also took advantage of the strength of the Dollar and hedged Israeli Shekels for expenses through next year as well. Our top line will be impacted by currency fluctuations; however, because of our hedging, we will not be impacted on a cash basis. Our outlook, which I will review shortly, takes into account our estimate of currency fluctuations in Q4. Third quarter net loss was $9 million, translating to a non-GAAP loss per share of $0.24 based on a share count of 38 million. CapEx in the quarter was $1.7 million. Free cash flow was roughly negative $2.9 million, an improvement from last quarter. We continue to maintain plenty of liquidity, ending the quarter with nearly $94 million in cash on our balance sheet and no debt. Our employee count at the end of the quarter was 824. I would now like to outline our guidance for Q4 and 2014 as well as provide some early thoughts on 2015. For Q4, we expect collections of $48 million to $49 million; revenue in the range of $39 million to $40 million, and new adjusted EBITDA of negative $2 million to $3 million. We are increasing our guidance for the year due to the strong performance we have experienced this year to date. For the full year 2014, we now expect collections of $170 million to $171 million, an increase from our prior guidance of $163 million to $166 million, revenue in the range of $139 million to $140 million, an increase from our previous guidance of $136 million to $138 million, and adjusted EBITDA negative $12 million to $13 million, an improvement from our prior range of negative $14 million to negative $16 million. While we are still finalizing our plans for 2015, I would like to share some preliminary thoughts on the coming year. As Avishai discussed, we invested heavily in the business in 2014, building a strong engineering team, expanding our marketing efforts globally and establishing ourselves as a public company. These investments have paid off as we are ahead of our plans for product launches and have positioned ourselves as a leading technology platform for small businesses globally. We have also realized tremendous growth in subscriptions, collections, revenues and adjusted EBITDA, exceeding our guidance each quarter since we have been public. We continue to see significant growth opportunities ahead so we plan to continue to invest in R&D throughout 2015 in order to build additional products and technologies for our platform. We believe we will begin to seeing operating leverage on our R&D expenses in 2015. Our large base of subscriptions that we have built, along with improving conversion and retention, will continue to drive leverage in our marketing expenses throughout 2015. With expected growth in collections and revenue and the leverage we are beginning to see in the model, we anticipate we will reach profitability on an adjusted EBITDA basis during the second half of 2015. I will provide a more detailed look at 2015, including formal guidance, on our Q4 call in February. Back to the quarter in summary, we were very pleased with our third quarter execution and are excited about what is on the horizon. I’ll now hand it back to Avishai
Avishai Abrahami: Thanks Lior. Our first year as a public company was a great success. We released several new products and greatly expanded our platform positioning Wix to be the leading cloud software provider for SMBs globally. We are also seeing proof that our business model is working as our subscription base grows and we realize operating leverage. With that, we will now take your questions.
Operator: (Operator Instructions) Our first question comes from the line of Sterling Auty from JPMorgan.
Sterling Auty – JPMorgan: So let's start with the marketing leverage. Can you give us some added color, specifically around the increased conversions in the cohorts, you kind of gave some high level, but I'm curious if there are any other trends that you're seeing either by geography, where maybe you're seeing an increased amount of conversion, or types of sites that are being built, whether it's mobile first or something else.
Nir Zohar: Hey Sterling, this is Nir. I have to say that the increasing conversion that we are seeing in the cohorts is pretty much across the board. It’s not something which is a change of trend towards specific geography or specific kind of type. We don’t see a mobile first, it’s still in the kind of the bread and butter people were first looking to build a website that will most likely represent their business or something of that kind. We think that – this ongoing improvement to the fact that there is also an ongoing improvement in the product itself, more capabilities that are being addressed, it’s improving kind of more better products such as the Editor itself and then the mobile et cetera and also the new thing such as WixShoutOut, more applications in the product, better support for payments globally et cetera.
Sterling Auty – JPMorgan: And then on the WixStores, what immediately pops to mind is the relationship you've had with Shopify. Any sense of what kind of revenue contribution or revenue contribution to the app revenue, or maybe how many users the Shopify application has, and how do you manage the co-optation that you're now kind of entering into?
Avishai Abrahami: Well maybe I'll start by saying how do we handle the competition? We don't view it as competition. I mean there are some customers that might find the solution to be what they are looking for, but if you're looking at Shopify traditionally a big portion of their customers are the bigger retailers. And they mostly will be concentrated in North America, and I think most of their payment methods are in the dark. If you look at our customers, they give you much variety of a smaller businesses and products being sold, and then more distributed around the world. So I don't see competition, and do believe that we always should provide our customers with the ability to choose and select the product that best fits to them. I think that today both products are at least now giving you the base [value-added features its store], but there is so much more to which e-commerce can expand, and I think that because the long-term focus of both companies is different, you are going to see much bigger differentiation in the product lines going forward. And so I think is the angle on that. I believe that, if you look at the contribution today, of course our ecommerce contribution is bigger than Shopify e-commerce that already exists and works very well, and we hope to increase that with continuing [indiscernible] the offering.
Sterling Auty – JPMorgan: Last question would be as we look at the broader economics by region, specifically talking about – you talked about Europe doubling and Asia business doubling year to date. We are seeing still some question marks over what’s happening in Europe from the economy. I just thought it might be a good point to – can you give us some commentary in terms of how you feel some of the cyclical or economic environment impacts or does not impact your business in a region like Europe?
Avishai Abrahami: Well I think that – and I just spent a couple weeks in Europe, so you can see that divided economies in many ways in Europe. But when we look at which part of the economy it’s mostly the largest corporations are suffering and you can see a lot of innovation and trying to come below that – if you go to city like Berlin, if you come, I just came from Ukraine and we can see there is a lot of initiatives by people to create their own way of moving on and building their future, with their own business and especially it’s the large – it’s the common European, some are joining the big corporations [indiscernible]. So in many ways I believe that the economy in Europe the way it’s evolving, it’s something that will actually contribute to us. I think if you look – again if you look globally you can’t really complete with more of the economy that you have in the United States, or Australia like – it shows you that a lot of innovation, great fantastic economy and you can see that all European countries, even the governments are focusing to that. So I think that, that’s going to create for us fantastic opportunities going forward. Hopefully they can be faster than usual [things] and it may actually still happen in our lifetime.
Operator: Our next question comes from the line of Nat Schindler from Bank of America-Merrill Lynch.
Nat Schindler – Bank of America-Merrill Lynch: Yes, hi guys. Congratulations on another great quarter. I wanted to just touch a little bit on some of your vertical apps and your new WixStores product. Can you explain to us a little bit of how these are priced? What is a user paying for it, and is it going to be part of the apps store, or is it a more directed sale product that you focus on a certain group?
Avishai Abrahami: Well, you are asking a lot of questions. So I am going to start maybe with the simplest one, which is how is it priced. First of all, let me say it is part of the app store and you find it within the templates or within the app store. Some users install it with the template that they select, so they get it pre-installed and some install it afterwards, when they select a template that is not what they [inaudible]. In terms of pricing, we are still in the process of testing pricing, so we don't have a fully committed price to that yet, and we will probably in the next quarter going to know lots more about it. So that was the next part of the question. We are not going to charge a percentage on the transaction. This is against our philosophy, and we believe that it is really a great, it's their business. We are a technology provider. We don't need to manage their business and take a percentage of their transactions. I just want to comment on one thing, and this is really one of the things I find fascinating about it. So we launched the hotel product, and now there is a way for small retails to market themselves on Trip Advisor. Meaning the link that you click when you book the hotel is going to lead you to Expedia or Booking or it's going to be directed to the hotel's website. And of course the fact that they are small hotel that is using the Wix booking engine, we integrated that into Trip Advisor so all of our hotels will have the ability to do that if they choose. As a result, it means we give them a huge, a bigger ownership of their business. Of course you don't have to pay a commission to Booking or Expedia or other places. And again, this is beyond the philosophy of that we are going to enable you to have a great business, but we are not going to be the guys that take a commission on the fact that you got a great business.
Operator: Our next question comes from the line of Mark Mahaney from RBC.
Mark Mahaney – RBC Capital Markets: Two questions please. You talked about your belief that the annual package skew or penetration would rise in 2015. Are you just extrapolating from current trends? Is there something else that makes you think that you'll continue to see that? I realize that it's a positive trend, but what makes you think you'll continue to see that? And could you comment a little more on the cohort behaviour? You know slide 8, this is great data. It's extremely valuable, but there are different trends going on here. Q1 ‘14 and Q1 ‘13 are seeing really nice improvements in conversions. But Q1 '11 and Q1 '12, if I'm reading this right, those levels are now below where you started. So what's – is there something in the – with the latter cohorts that need to be fixed? Or is that just natural and we should expect that with the other cohorts over time?
Nir Zohar: Hey Mark, this is Nir. As for the first question in terms of the annual rate, we do believe that the current 65% rate for the people buying new subscription is sustainable and it’s a great testament to the fact that users are happy and are satisfied with the offering. They are happy and satisfied with the additional value that will improve towards – indeed the people who buy those annual packages. If you look at this on a cumulative base and take a look at all of the subscription base, naturally that number has always been higher and it has increased now to 70%. Our belief is that for the new subscription the rate of increase, then over time it will also follow up with an increase over the cumulative base. As for the second quarter, in terms of the behaviour of the cohorts and the conversion and retention, I think there definitely is significant difference between the cohorts of ’13 and ‘14 versus the older ones. And I think it’s a good demonstration of what a major – successful overhaul of the products can do. If you look at the older cohorts, we released our new HTML5 for that in the end of Q1 of ’12. So basically the growth was not really impacted by it so much, as much as the new cohorts of ’13 and ’14, and therefore you will also see right at kind of the getgo you see a much better performance of those cohorts. I think that over time you will see kind of an opening point which increases, then decreases for a bit and then kind of flatten over time, which is what we see with the more mature and older cohorts at least for the Q1 of ’10 and ’11. We do believe that over time ’13 and’14 will get to that kind of flattening and supplying us with the steady number of active subscriptions and therefore a steady amount of revenues in collections. But we obviously the way it’s positive is that even with the steady lines of Q1, the older cohorts we are still converting premium subscriptions there and obviously getting more and more collections in revenues from them.
Operator: Our next question comes from the line of Kerry Rice from Needham & Company.
Kerry Rice – Needham & Company: Thanks a lot. A couple questions. Maybe going back to marketing, first. You know, you mentioned you're worried about getting some more leverage in Q4. How do we think about that? Is that just as a percentage of overall revenue we'll see somewhat decline or are we seeing any decline in an absolute dollar? And then, within marketing, can you talk a little bit about if there's any shifts? I know you guys have been very successful on the social strategies. Maybe, any changes between that and expenditures on television? And then the second question, back to the shift towards annual packages, it shifted pretty high up from 56% to 65% in Q3 and you mentioned, obviously, product enhancement. But you also mentioned pricing. I wonder if you could provide a little more detail if one of those was a bigger driver than the other.
Lior Shemesh: Kerry, this is Lior. In terms of the marketing expenses we have already started to see the leverage of the marketing expenses this quarter. If you guys remember the beginning of the year we called for 58% as a percentage of collection and actually that was the case in the first and the second quarter. And in this quarter we actually round to 54% and this is all about the leverage. Nir explained before about the cohort and how exactly it should derive the leverage of our model, and this is exactly the point. We do see the marketing expenses continue to decrease as a percentage of collection and this is one of the reasons why we think that we will be able to reach into our profitability in the second half of next year because we are able to leverage our operating expenses.
Kerry Rice – Needham & Company: But do you expect them to decrease on an absolute dollar sequentially? Is it that much of leverage or just on a percentage of collections?
Lior Shemesh: No, just as a percentage, actually on an absolute number we are going to increase the investment in marketing.
Kerry Rice – Needham & Company: Okay. And then, and any color on kind of shifts between the strategy? TV, social or display?
Nir Zohar: This is Nir, Kerry. There hasn’t been any significant change in our strategy there for the year and we mentioned that in the past. Naturally we keep on testing all of the channels to see whether there is more leverage in one versus the other and keep on investing there. So I don’t think there was anything that has been – there is no significant, it’s basically pretty balanced. And I think that your last question was about the drivers for the change – the switch from monthly to annual, right?
Kerry Rice – Needham & Company: Yes, the big from 56 to 65.
Nir Zohar: We always do a lot – like an ongoing testing of what’s the right way to price, what’s the right way to display the pricing. But it also is very much combined with what kind of extra value in terms of product and if we can add to the higher pace – priced packages as well as the annual ones. And it’s not one specific saying that – one junk but it’s a combination of testing that over time has generated that increase. I think we found some really interesting formula in the last six months that allowed us to do that – drive more change there than we had in the previous 2013, and definitely consider that a great success. And again it’s a testament to the fact that people are very happy with the products and the packages and are willing to move to the annual subscription.
Operator: And our next question comes from the line of Jason Helfstein from Oppenheimer.
Jason Helfstein – Oppenheimer: Thanks. Three questions. First, can you talk about what you're seeing on the competitive front? Just by being a consumer, we see more television ads by some of your competitors, so maybe talk about is that having an impact? Is it different in different regions just because you are much more global than a lot of them? And then, would you – do you think the industry needs to go through a phase of consolidation and if so, would you consider buying any of these companies? Second question, do you have any examples where you've seen customers consolidate their activities with you as you bring them in with one set of services, right? And then over time, you're able to kind of upsell them more. And then lastly, I don't think I heard in the prepared remarks anything just about the Google domain project, any update on that? Is that still coming to market?
Avishai Abrahami: Hi Jason, it’s Avishai. So let me just start with the competitors. So if you take a look at our actual product, I think it’s pretty much the same, we do not see any merger of development in any of the products of our competitors. I think that if you look at the marketing, before we did the IPO, we had pretty much a similar amount of – fair marketing like our competitors. We’ve always been better because our convention is more effective, so we keep actually returning investment – which appear that we are spending more. But right after we did the IPO, our competitors raised more money. And so we again seem to be in the same place that we have been to a year ago and there was no dramatic change in the industry. This of course mostly relate to the North America market, if we look at the other countries, we don’t really have the kind of competition. So that is also – there was never any competition and there is not – we are pretty much in the same place. We do see again that having a unique offering, there is a big difference, I mean the workflow and the ability to manage more and more of the business contributes to our ability to differentiate further from our customers. So I would say overall the answer is no, we don’t see any major change and we do actually see some signs of improvements. So that’s even better but internationally it’s pretty much the same. And in terms of the – are we going to – do we have intention of buying anyone of the other players, I don’t know if that’s the right way to be – I should say that when we look out there, I am not sure that that’s the strategy for us but of course we will always be open to think about what is the right thing for us to do at the point of time, and I think companies have many ways of working together, not necessarily to buy one or the other. So hopefully we will find many ways to work in this industry. In terms of Google domain, let me refer that to Nir which is following this project.
Nir Zohar: It’s Nir again, in terms of Google domain, still in various stages of testing and on Google site and therefore they are still not driving anything significant demand of traffic there, which leaves us to not be able to really assess because we don’t understand yet what are the right metrics to understand how much of it, what’s the conversion, how does that behave. On our end, the work is done and they are going to move at their own pace. We are not modelling at this stage anyway and obviously if we do have – if you have an impact, that will be an upside.
Jason Helfstein – Oppenheimer: And then, any examples of kind of the successful upsell of products over time? Kind of consolidation of activity by clients?
Nir Zohar: I couldn’t hear the last part of what you said.
Jason Helfstein – Oppenheimer: That you bring customers in, let's say that with the single product or lower price point, and then over time, you're able to sell them you know, more services? Any type of examples that you can highlight? In other words, do we see businesses consolidate their services onto one platform as opposed to using multiple platforms?
Avishai Abrahami: Yes, absolutely. We do see that all the – every day we have hundreds of examples. They're coming in, they start in the lowest package and then they upgrade that, starting to add more applications. We can see massive adoption of functionality signed by the hotels customers meaning that the hotel that started with challenges, page in the web now moving to orders booking, orders management of contacts which is their customers. And now, doing the campaigns or the shout-outs we can actually see that we also have a – some of the accounting, the applications which we hope to integrate of that we introduced in the last earning call. So I think that we're going to see that pretty soon, we will be able to manage to completely move the operation of hotels and right after, restaurants to an online cloud-based facility. The other side of that is, of course, that we see them buying applications for marketing. So, they’re starting to also use that more and more. And I think that that's, for us it's a fascinating process and we're very proud to be able to enable businesses to do that.
Operator: Our next question comes from the line of Tim Klasell from Northland Securities.
Tim Klasell – Northland Securities: Yes, just two quick questions here. First, on your vertical market strategy, obviously, that's going to add to the lifetime value of customer. When you do your analysis of this, is it mostly through increased ARPU or through increased retention?
Avishai Abrahami: Well I think that the answer to that – this is Avishai – I think that the answer to that is a combination, but a substantial of which we’ve seen high already, I think that the majority – the benefits will be from increased ARPU. Currently we are testing the price of hotels for about twice – just to fill the applications for approximately twice the price of premium offering. So that is a substantial differentiator. But of course we are testing the price, might change but I do believe that the ARPU is going to be the most significant in terms of the short term and when we say APRU, I just want to make one disclaimer, lot of the clients are on that packaging needs, with the premium offering [inaudible] especially pretty most lines of hotels, without including in the part of the fact. Retention rate was always really good and I think we just can buy is going to be – so because we are always good, I don’t think there’s going to be huge difference.
Tim Klasell – Northland Securities: And then, just a quick detail question. What percentage of your revenues are already euro denominated?
Lior Shemesh: Again what was the question – what is the revenue – so we don’t disclose the percentage of our revenue in euro but what I can say that is that 50% of our revenue coming from places outside the North America which obviously Europe is a significant part of it, but we don’t disclose it on a regular basis.
Operator: Thank you. Our next question for today comes from the line of Jessie Katz from Makor Capital.
Jessie Katz – Makor Capital: Thank you for taking my question. I want to ask you out -- could you give us some color where the next geographic expansion should be in or if you can give us some direction where to go and what kind of geographies we are looking at?
Nir Zohar: Hey Jessie, it’s Nir. Well, I have to say that this is already very popular globally and we're active in almost every country in the world. I think that definitely we are expecting to keep on improving our ability to cater to the needs according to the local needs of people in South and Central America and in more countries in Europe. I cannot share a very specific, very specific time on for each and every country but I can say that generally the thing that we focus on is making sure that the product fits the current geography based on language and sometimes other more minor cultural differences. Definitely enabling us to – of local payments which is usually something that requires a little bit of time and effort to understand how to do best. Luckily we have our own internal proprietary billing system. So we have – we control our own destiny in that matter and our own pipeline and roadmap and we can achieve pretty fast. And then definitely go into marketing and other small utilization efforts, again the great news for us that – for Wix being a software company is all of this can happen from our current offices and from our headquarters, you don’t need to go as far as servicing our local presence, and then hire lot of people in all over the world.
Jessie Katz – Makor Capital: Okay. Thank you so much for everything. Okay. That's it from my side.
Avishai Abrahami: Thank you.